Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:01 Good morning or good afternoon. Welcome to the Swiss Re Nine Months twenty twenty one Key Financial Data Conference Call. At this time, it's my pleasure to hand over to John Dacey, Group CFO. Please go ahead, sir.
John Dacey: 00:15 Thank you very much. And good morning or good afternoon also from me to everyone. I'm here with Thierry Leger, Group Chief Underwriting Officer and Thomas Bohun, our Head of Investor Relations. 00:28 As usual, I'll start with a brief overview of the key figures for the first nine months that we published this morning. We're pleased to report a profit of one point three billion dollars for the first nine months of twenty twenty one despite the significant loss events and the ongoing burden from COVID-nineteen. 00:46 Driven by our focus on portfolio quality and discipline underwriting, P&C Re and Corporate Solutions produced excellent results with a combined profit of one point nine billion dollars and reported combined ratios of ninety seven point five percent and ninety one point one, respectively. 01:05 P&C Re and Corporate Solutions delivered normalized combined ratios of ninety four percent and ninety five point seven percent, respectively, and are both well on track to deliver on their ambitious combined ratio targets for twenty twenty one. Supported by strong underlying margins Life and Health Re achieved the profit for the second quarter in a row in spite of a heavy burden of COVID-nineteen claims. 01:30 The Group's strong return on investment of three percent was driven largely by recurring income as well as equity valuation gains with no credit impairments for the entire year to date. Swiss Re maintains a very strong capital position with group SST ratio of two thirty four percent as of the first of July. The nineteen percentage point increase compared to the twenty twenty one starting position of two fifteen was supported by economic earnings of more than three billion dollars. 02:04 As we move towards the end of a busy year and into twenty twenty two with confidence that our businesses can continue their strong performance and we see opportunities to deploy capital at attractive returns across the group. 02:18 With that, I'll hand it back over to Thomas to introduce the Q&A session.
Thomas Bohun: 02:22 Thank you, John, and hello to all of you from my side as well. So as usual, if you could restrict yourselves to two questions and then if you have another question, please rejoin the queue. 02:32 Operator, if we could start with the first question, please.
Operator: 02:36 The first question comes from Andrew Ritchie from Autonomous. Please go ahead.
Andrew Ritchie: 02:42 Hi there. CorSo was based around the viability of property cat business right now. I was interested in the comments you made. I think it was John in the media conference this morning where you are suggesting your property cat business is still running at less than ninety combined year to date. And I wasn't sure if you're trying to -- you're trying to stress is now adequately priced and you're happy with that, because obviously, I think we'd expect to run lower than on a normal year, but what are you trying to tell us? Are you trying to say that this is viable business, it’s adequately priced, we don't need to do a lot more work? Or what was you kind of thinking in terms of what additional rate or restructuring might be needed across property cat business at an industry level? 03:33 Second question, CorSo growth rate was quite a lot higher in Q3 than the first half. Is this -- are we sort of back in growth mode now? Should we assume that CorSo is now growing kind of in line with renewal rates at leased from this point? Thanks.
Thierry Leger: 03:51 Hi, Andrew. This is Thierry. I’ll take you first question on property cat hence John reference that we are below -- despite all the losses still below ninety percent combined. I think that what we wanted to say with this is, despite these very, very large losses and also being above our budget, that still doesn't mean that this business at this point in time loss making. So by making the essence to below ninety, we simply said that the premium is still covering the losses. 04:28 Regarding the underlying question on price efficacy of this business, we can all see the dynamics that are around in the market. We have seen the strong growth in secondary parallels. And it is very clear that some of the businesses, some of the layer is more into frequency part, there's has been a lot of pressure lately. Capacity is pulling back and we are very clear since our Investor Day in November last year that we see, particularly that space as not attractive on the price, it is not well structured and still desiring price increases. So we have a bit of a more differentiated approach like it.
John Dacey: 05:24 And then, Andrew. I might add on that piece. If we're taking on the tail risk of the industry, we expect to be compensated for it. And the fact that we're still profitable with the combined ratio lower -- and what is a heavy but not extraordinary year, I think shouldn't be a surprise to people. We understand the risks that we're bringing on to our book. And as Thierry said, there's still important segments of this space which do need further price increases. We've been surprised as an industry, frankly, in a couple of places again this year between the Texas storms in the winter and more closer to home here, the floods in July in Northern Europe. 06:10 So I think we would expect prices to continue to adapt appropriately. And when I say adapt, I’m thinking of a place where that would mean going down. But we also think that Swiss Re has got the modeling capability and the expertise to be able to make money in this business even when there's a heavy cat load. So that's the first question. 06:35 Your second on CorSo growth. It’s a pretty straightforward answer, actually. We did this massive restructuring of the portfolio getting rid of a third of the risk in twenty nineteen, that's continued on. And finally has sort of expired as a drag on growth for CorSo here in the second half of twenty twenty one. So as we go forward, the strong increase in written premiums will earn through. And I think -- and not only should you see us grow with the price increases, which year-to- date have been twelve percent, but probably even beyond that as we see some interesting opportunities for growing parts of the business as we go forward. 07:25 So, I'm not making specific predictions, but it shouldn't surprise people for us to be with CorSo in a double digit growth mode in sort of the near quarters.
Thomas Bohun: 07:41 Thank you, Andrew. Could we have the next question please?
Operator: 7:42 The next question comes from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: 07:48 Yes. Good afternoon. Thank you very much and congrats on this great results. And I have one question on the cash flow situation at the holding. If you could just provide an update, which have you did in the last year at Investor Day of four point two billion dollars and if you can provide something similar to that effect or some numbers there? Also in the context of these 3Q cat losses and how would that affect the cash position at holdings. That's the first question. 08:20 Second thing is that, also notable for us is the normalized combined ratio of P&C RE, which is ninety four percent at nine month stage. Could you comment a bit about were there any COVID frequency benefit here to think? So in other words, if you have to think for next year, more pricing has been earned through, but also economic recovery? And how should we think about these two courses on this ninety point zero percent? Thank you.
John Dacey: 08:56 So, Vinit, I'll address the first question and Thierry will actually answer the second one. 09:04 On the first question. We've not disclosed yet the similar holding company cash. What I can say is liquidity of the firm is robust, up and down the legal entities that are relevant and we are very comfortable with our cash position at the group level as well as subsidiary levels. So there's nothing to be concerned about there in spite of the losses that we are reserving now or paying out here. 09:40 With respect to the P&C Re normalized combined ratio, Thierry, you want to take that?
Thierry Leger: 9:48 So Vinit, with regard to -- you are making reference to frequency benefits that we might -- once we normalize actually have profited from unusual reduction in attritional frequency losses, which is not the case. So generally on the manmade losses, this was not an easy year to the country, there were substantial losses actually going on in the industry. You know that after COVID reopening of the industry happens, lots of industries are running at limits, which is very typical for property in those cases, you do find losses. So there was no such benefit that we could see.
John Dacey: 10:39 And clearly in twenty twenty one, the only thing I would say is some of the property losses in twenty twenty for CorSo were probably a little below and that's allowed us to make some adjustments to the reserve positions there. But on the P&C Re book we don't think that there's any real benefit that's going to be coming through and what we're reporting is normalized for twenty twenty one.
Thomas Bohun: 11:05 Thank you, Vinit. Could we have the next question please?
Operator: 11:09 The next question comes from Will Hardcastle From UBS. Please go ahead.
Will Hardcastle: 11:14 Good afternoon, everyone. Thanks for taking the questions. Two here. Just first one on catastrophe, second one on solvency. I guess Ida and European floods the losses have come in significantly lower than initial market expectations. Any color here would be helpful. I guess, do you think it was due to a changing gross underwriting or a change in retro protection. Anything here that we should think about the sustainable benefits that will help us going forward as well. 11:43 Secondly, on solvency. Also a positive print. I guess, can you refresh how you view, let's say, two thirty percent type SST level in terms of ability to support growth, but beyond that I think what's the distribute. And maybe what's the order of preference, obviously, you’ve highlighted growth deployment and then between excess shareholder returns and debt reduction beyond that. Thank you.
Thierry Leger: 12:10 Will, I will take your first question, John will take the second. On our improved underwriting results, I think -- also if we can go back to the Investor Day in November twenty twenty where we said what we would do. So we at the time were looking ahead thinking that secondary parallels, particularly those induced by climate change would continue to behave very rationally. And therefore, we said it will reduce our exposure to those levels. We also -- at the time you remember, we also said we see social inflation as a big threat, and therefore reduced our exposure to large corporate risk in the U.S. So we did both of that, that actually led to different mix. So I would refer to the changes we did much more on the structural side. And whilst we always do improve our retro program that -- those changes to the retro thirteen don't explained this improve performance.
John Dacey: 13:32 On the second question, Will, with respect to solvency. The two thirty four is a very solid number and obviously puts us in a much more comfortable position than the two fifteen. When we started the year we’ve been very explicit I think in our priorities for the capitalization of the group. The first and foremost is to remain one of the best capitalized reinsurers in the world. I think we took that box. Second is to be sure that we're maintaining, and in some cases, be prepared to increase the dividends. We've been telling you all year long, that dividend we believe is secured and the economic earnings that you've seen in the first half of the year should reinforce that. 14:26 The third is to deploy our capital for new growth opportunities, and frankly, in all of our businesses we see this opportunity in front of us here in the coming quarters. And so, with the prices that CorSo is achieving with the demand that our Life and Health Re business has both for that support product launches in the primary market, but also some structured transactions, which are being -- are in discussion. We think our Life and Health Re franchise can continue to grow. And the P&C market, which Thierry just alluded to, we expect some real price changes as a result of the losses that haven't been incurred here in twenty twenty one. 15:23 And in particular, what we thought was under-priced segments on higher frequency events on the aggregate covers, on sort of poorly modeled parallels should see better pricing and then those better prices will evaluate whether we're prepared to expand into some of these places where in twenty twenty and twenty twenty one earlier, we didn't think we're adequately priced. So that are the first -- those are the first three legs. The fourth leg is, if after reviewing the ability to deploy, we really find ourselves with excess capital, then yes, we don't need to sit on it. We're prepared to return it to shareholders. We've done that in the past and we'll do that in the future if that's the right answer.
Thomas Bohun: 16:20 Thank you, Will. Could we have the next question please?
Operator: 16:23 The next question comes from Iain Pearce from Credit Suisse. Please go ahead.
Iain Pearce: 16:27 Hi. Good afternoon, everyone. Thanks for taking my questions. The first one was just on the profitability of the cat book. Obviously, the profitability for your book sounds very good, I'm assuming that profitability for the industry won't be at that sort of level. So just hoping you could sort of expand on the differences in Swiss Re’s effort relative to the group? And is there anything in your exposure that's leading you to have a much more profitable book this year? 16:51 And then the second question is just on Ida and the proportional loss share. Is this sort of loss share now what we should be assuming for North Atlantic hurricane to Swiss Re. It's just the size of the move in loss share is a bit more than what would be implied by the movement in the P&L that we have seen this year. So I was wondering if you could touch on why do you think this is a more normal level now?
Thierry Leger: 17:14 Hi, Iain. I’ll start and John will add to it. So on the profitability of the cat book, indeed we think that -- thanks to the changes we made to our cat book early in the year. We are actually -- we have been able to avoid losses. We have also said that we have avoided losses in the mid triple digit range. So that's the degree, but it's an estimation, because difficult to estimate losses to aggregates, of course. But that's what we think. We have avoided, we think we are in a very strong position, John alluded it also from a capital position in a comfortable position. 17:56 We think we have a good -- well -- very well distributed book of business in cat’s and we are ready for next year to actually grow our capital allocation to that business if the opportunities come out way. We are optimistic, given current market dislocation in certain spaces that we watch very closely that this will be possible. So we enter twenty twenty two, I think, on the back of very strong liability book in general and are very confident. Therefore to be able to profit from the opportunities that will present themselves next year. By the way, across all our businesses. John, if you want to add something to this one?
John Dacey: 18:52 Maybe just the specific questions around Ida. Ida was a bit of an odd storm, it ran up, obviously, did a lot of damage near the coast of Louisiana, but managed to miss the major metropolitan areas the damage both to Orleans and Baton Rouge was surprisingly light. And then it had its tail in the northeast. 19:23 You won't be surprised to know that not only do we model for hurricanes, but we actually model subsequent rain -- hurricane induced rainfall that matters, especially in Japan with the typhoons, but it turns out -- it matters in North America as well. And so it wasn't surprising to our teams that you saw this kind of flooding that hit mostly personal lines and actually a surprising amount motor damage as the flooding was not necessarily coastal, but rather in areas where homeowners or commercial lines flooding would not necessarily be in force. And so these losses typically are not reinsurance, but if they are reins, we've, I think, prepared ourselves to be sure that we had a higher attachment point where they didn't necessarily kick-in in any material way. 20:22 So to your specific question, is this the rule of thumb for future? North America wind storms, it's a little complicated. I'd say on this one in particular, the nature of the losses managed very well within our book. We did not have -- we had actually de minimis exposure to Louisiana specialists, which also had us avoid some of the damage that was done by wind in the state. So, as we go forward, we're in a range, this was towards the lower end of the range that historically has been there. But at least with the current underwriting we have, I'd say, you should expect that we're a little better protected against some of these extra losses or add-ons that people might assume.
Thomas Bohun: 21:22 Thank you, Iain. Could we have the next question please?
Operator: 21:24 The next question comes from Thomas Fossard from HSBC. Please go ahead.
Thomas Fossard: 21:30 Yes. Good afternoon. One question regarding the twenty twenty two outlook. Some company that already laid out well into the mid-teen top line growth expectations on the P&C Re side will be interested. I mean, it seems to be that, reading your press release and listening to your comments, it seem to me that you're pretty optimistic for next year. So it will be interesting to better understand what kind of growth rates we will see in P&C Re and Life Re you're shooting for next year if current market conditions were to prevail. 22:23 And the second question would be related to Life and Health reinsurance results, actually very strong printing in Q3, partly supported by in-force transaction, but seems to be that since Q1 actually the experience and the underlying profitability of the book has been running probably bit of a new we're expecting. So I was wondering if you could update us on the ten percent to twelve percent return on equity based on the eight billion shareholders equity, but it seems to be that we are starting to hedge slightly higher now, so any update on that will interesting? Thank you.
John Dacey: 23:16 Thanks, Thomas. I'll see what I can do here. With respect to the growth of P&C Re in twenty twenty two, I don't think we've got a prediction. We would expect for pricing to be rational. If pricing is rational, we'll see opportunities to write a bigger book of business and look forward to that opportunity. But we don't exclude the possibility that -- somehow, it goes otherwise. What we will say is, there seems to be some pressure in the retro market which in my guess may constrain some of the people that rely on their balance sheet less than we do to be able to grow new business. So I think we'll see what that dynamic is. We are committed to be important and reliable partners to our primary insurance clients over, not just years but decades, and we'll continue a rational pricing to deliver the covers that they're looking for. We will work with infrastructures that work for both of us. And so if that provides the opportunity for a strong growth, we'll take it. But we'll just have to see where January one subsequent renewals actually land us. 24:41 On Life and Health Re, I'm probably a little more optimistic. I think we've been able to grow, again, ten percent year to date that book of business, some of that's been flatted, I guess, by foreign exchange. But what we see there is a continued demand as a number of European and U.S. companies continue to restructure or adapt their own business models for us to be able to help them do that, as well as real demand for protection products which is our bread and butter around the world, emerging markets in particular. So, the skill set that we have, the expertise we have is being called upon by primary companies to help them develop a broader suite of products which address mortality morbidity. So, I'm probably a little firmer in the expectation of continued growth there. 25:41 You mentioned Life and Health profitability and the -- we acknowledge that the eight ninety nine in nine months is a higher earnings and a higher return on equity than we have guided the market to. Two observations, the first, which is a reiteration of what we were talking about at the mid-year, the allocation of mortality losses between COVID and the underlying business remains a bit of an odd compared to science. We've reflected largely what our primary companies have allocated the losses to with respect to COVID, but that might be understating some of the mortality experience of the broader portfolio. 26:38 So, I think the precision there of what's COVID and what's not COVID, at least on the margin is an area which may result in a flattering of the non-COVID performance. The second thing, in the third quarter there really were a series of one offs which helped the quarter, but probably were not likely to repeatedly, at least not in a predictable manner from management actions, some of them have been quarters in the making some of them came up during the course of the third quarter, but I think the guidance we've had unfortunately for you of ten percent to twelve percent remains in force for twenty twenty two. 27:36 We do have some challenges in the United States with a cohort of life policies with a potential crossover, which should be seen last year of economic challenges for the industry in twenty twenty two. But the other way to think about this is, we would target an income that's probably closer to eight hundred million dollars for a year related to ten percent to twelve percent return on equity is a reasonable approximation for the coming year.
Thomas Bohun: 28:21 Thank you, Thomas. Could we have the next question please?
Operator: 28:25 We have a follow-up question from Will Hardcastle from UBS. Please go ahead.
Will Hardcastle: 28:30 Well. Thanks. You made the comment secondary parallels are under priced. You've clearly taken a lot of action here. And you continue to see pulling back. I guess it's a bit hypothetical, but in a world where perhaps everything has a price. Can you give us any sort of crude estimate at just how much this is underpriced? I mean, are we thinking of ten percent, twenty percent or fifty percent. I know they grew a lot of business, just at what level we -- Swiss Re stepping back in to take advantage of a potential opportunity. 29:04 And then the second one is the inflation debate, which is heightened in recent months. Well, a majority of this is -- it’s forward looking uncertainly on longer tail lines. I think this is -- perhaps you've experienced anything already on the card portfolio. Whether it would be on the shorter tail side or not? And which lines of business we should think about a way you actually would be looking on the closer scrutiny in an inflationary environment? Thanks.
Thierry Leger: 29:37 Will, I’ll take your first one and John the second. So what price is required? One is the required price and the other one is the price we think you can get in the market. So that's hopefully very different. But I’ll answer your question more technically maybe. I mean, technically, what we said in November last year with regard to secondary parallels. Technically what we said is that, there are some structural issue. So some of the covers that were placed in the market were in a frequency space and exposed in a way to secondary parallels that has no price in our view. So on those, we will continue to obtain. 30:24 And so John referred to being ready to potentially grow into some of the space. That's not the space. What we are talking about are areas where we think there is a price and the pric increases required in those spaces are substantial. Definitely that can be above one hundred percent, it can be above fifty percent, they are very, very high to make those interval. But again, as I said, we also have to work on loss definition close. These are tricky areas, we have to look at where those -- what type of secondary parallels they are, we still believe that certain parallels carries that are particularly exposed to climate change, such as wildfires, hails, rainfall. So those areas or treaties particularly exposed to these independent of where they are in terms of structure will probably remain close to uninsurable still in our view.
John Dacey: 31:35 And maybe on the inflation side, again, Thierry, had some great commentary. I think of the Monte Carlo describing the way we think about -- the framework we think about this between social inflation underlying core inflation and what seems to be temporary or we expected to be temporary but not completely challenge on the supply chain. You asked, Will, have we've seen any of this and have we moved on it. Where we have moved on all three is with respect to our costing models and making sure that we're getting adequate prices for a different regime compared to what we saw between two thousand and nine and twenty twenty for core inflation in most markets, as well as the impact of social inflation, which I’d argue made adjustments for in twenty eighteen and twenty nineteen also with some of the reserve changes that you saw we made. 32:34 And the very recent claims experience, what I would say is one of the unpleasant surprises in Ida was with all this motor damage the actual cost of replacements and potential repairs of cars was higher than people might have expected. And you see this more broadly in the U.S. Motor experience, some very good companies are struggling with some loss ratios, which are out of line with what you would expect. And this is bleeding through into some of the losses on the flooding related to the hurricane. 33:20 So, I think that's one place, we came to an industry loss of between twenty eight dollars and thirty billion dollars in part because we were expecting this is going to be more expensive to rebuild in some cases, but also to replace damaged automobiles, but also other important damages that the hurricane played. So it's a place where we've adjusted some of our models and we'll undoubtedly continue to evaluate are we sufficiently putting in place for nat cats, the inflation that we should expect in the next four to six quarters related to supply chains.
Thomas Bohun: 34:10 Thank you, Will. Could we have the next question please?
Operator: 34:12 The next question comes from Iain Pearce from Credit suisse. Please go ahead.
Iain Pearce: 34:17 Hi, thanks for taking the follow ups. The first one was just on CorSo reserve releases. You mentioned some sort of frequency benefits still earning through potentially related to COVID. How long should we expect this elevated experience last? Or do you think the sort of frequency benefits have now fully been recognized? And then the second one was on the sort of potential to be growing in retro in those higher tail risk areas. Is the plan to do that for the benefit of your own book or is the plan to be seeding that out to your capital partners?
John Dacey: 34:55 So I'll try. On CorSo, I think the benefit you've seen on the reserve releases, it’s been focused on our property book. We've been more cautious in any releases related to casualty in part because we think the court systems in the U.S. have been slowed as a result of COVID restrictions in twenty twenty, but also in twenty twenty one. And so, we are not been I think decisive in concluding that these losses didn't occur or won't come through. That doesn't mean that I expect the groups or releases to follow, but it does mean that we believe that we are well positioned to be able to bear real losses that might come through on a delayed basis in the CorSo book. 35:58 In the meantime, I think the important messaging there is that, the normalized combined ratios that we've provided for CorSo of under ninety six is cleared out all that benefits. And so the core activities of the book it has today is showing this improvement and we expect that trajectory to continue. 36:24 Sorry, the second question was growing –
Iain Pearce: 36:25 On the book and how we would use [Multiple Speaker]
John Dacey: 36:35 So we obviously access the retro market in many different ways. The alternate Capital Partners team among other things facilitates the issuance of cat bonds by our clients that want to go that route, and we would expect that activities to continue to be robust as we go into twenty twenty two. We have our own sidecar, one of the largest in the industry. And frankly, I think they were probably a bit relieved when they saw our loss picks for Ida in the ad hoc announcements we put out three weeks ago. So I think our investors recognize that we are sharing the economics of the group with them, we're not putting them at any particular disadvantage vis-a-vis the book that we underwrite. We underwrite our book for profit. And so we think we should be able to continue to grow our own retro capacity in line with well-priced risks coming in the front door. 37:50 At the moment, we use this to manage some peak risks, but also just to help with the book I think we're optimistic over time about being able to grow our gross underwriting, grow the net but also continue to grow the support by other people interested in sharing the economics.
Thomas Bohun : 38:18 Thank you, Iain. Could we have the next question please?
Operator: 38:21 The next question is a follow-up from Thomas Fossard from HSBC. Please go ahead.
Thomas Fossard: 38:27 Yes. Thanks for taking additional questions. First one would be related to mortality losses. So you had pretty chunk of mortality in Q3, some of that is true-ups, but just wanted to better understand what is your scenario for Q4 and maybe into twenty twenty two what kind of exposure should we think that you may get maybe in the first half of twenty twenty two. Anything on these would be helpful. 39:03 And second question will be related to your investment portfolio. Have you made any big changes or significant changes quarter to date? And I'm thinking specifically of the fourteen percent liquid and cash position that you were holding at the end of Q2 as change or anything you could see about? Thank you.
John Dacey: 39:33 With respect to the COVID mortality, a couple of thoughts. One is, as you correctly point out, we continue to pay a series of claims first and foremost to the portfolio in the United States, which has been the largest single source of losses for us through the pandemic. 40:03 In the third quarter, there was also some significant losses coming through on what we believe is largely delayed reporting out of India and mostly delayed out of South Africa, although there probably were some third quarter losses there as well. On a going forward basis, which was the point of your question, two things. One is, as the vaccination rates in the U.S. now have reached about two thirds. What we are starting to see is the people coming to the virus and actually dying as a result of COVID are a slightly different population than what we saw in the past, and in particular, seem to be less insured. 40:51 And so we've adjusted our guidance where we had said previously that for every one hundred thousand of COVID deaths in the U.S. we would expect a loss of two hundred million dollars that's come down now to for every one hundred thousand does a loss of one hundred and fifty million dollars and we've actually set a range of one point two five percent to one point seven five percent, because it's a little difficult to judge based on the data that we've seen in the last quarter or two quarters, but that seems to be the trend. 41:30 So a fewer insured loss is aided to this. The other thing which I'd say is the second peak in the United States, right? The biggest first peak was obviously in Q1, the second peak in Q3. In terms of number of cases is falling dramatically through here. October, the deaths are down from a peak of about two thousand per day to fourteen hundred per day, but that's still a lot. And so, we expect this to continue to be a cost in this fourth quarter for us. 42:07 The U.S. related losses in Q3 were one hundred and seventy million dollars at least right now with what we see Q4 would be a smaller number than that, but to be seen as the pandemic itself continues. We would not -- we won't be surprised to see some lingering mortality claims in the first half of twenty twenty two, in particular out of the U.S. we don't foresee other geographies at this point of time presenting material losses to us, but we'll have to judge this as the pandemic continues its path. And I'm not going to predict what that path might look like. 42:54 What we can say is, the P&C losses have become very small in the third quarter, about fifty million dollars in P&C Re, actual positive result of some of cancellation reserves being released in CorSo for the quarter. And in the fourth quarter, we've got no evidence that there's going to be any material charges coming through in P&C Re or in the P&C businesses.
Thomas Fossard: 43:21 And on the investment portfolio changes?
John Dacey: 43:24 On investment portfolio, I guess the answer there is, we will remain a bit cautious. The spreads available on credit remain pretty tight and so it's not providing us the incentive to jump into credit in a big way. We've got a reinvestment yield of two point two percent in the third quarter. I think we're okay not going risk on at this point of time.
Thomas Bohun: 44:06 Thank you, Thomas. Could we have the next question please?
Operator: 44:09 The Next question is a follow-up from Andrew Ritchie from Autonomous. Please go ahead.
Andrew Ritchie: 44:13 Hi there. Is it very quick one. Am I correct to assume the run rate of losses or from investment in iptiQ doesn't changed. So I think it's about two hundred million per annum. I think the higher loss in group center in Q3 was all down to mark to market effects. I just want to clarify, there's no addition -- I know -- ramped up in a few new countries, especially China, I think this year. I just wonder if that's the run rate of losses has been higher?
John Dacey: 44:48 I can confirm that two hundred or between two hundred and two fifty for full years is a good night guidance. And hasn't changed and you're exactly right, it’s mark to market on a couple of positions have been the challenge in group items this year. These are positions which in twenty twenty performed very strongly for us. There's been some refreshment, but over time, we've been very comfortable with these positions.
Thomas Bohun: 45:22 Thank you, Andrew. Are there any more questions?
Operator: 45:25 Gentlemen, we’ve had no more questions.
Thomas Bohun: 45:30 Thank you all for all the questions. If you have any further questions, please do follow-up with the Investor Relations team. Thank you again, and we wish you all a very nice weekend. Thank you.